Operator: Good morning. I would like to welcome everyone to Kennametal's Third Quarter Fiscal 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Michael Pici, Vice President of Investor Relations. Please go ahead. 
Michael Pici: Thank you, operator. Welcome, everyone and thank you for joining us to review Kennametal's third quarter fiscal 2023 results. Yesterday evening, we issued our earnings press release and posted our presentation slides on our website. We will be referring to that slide deck throughout today's call. I'm Michael Pici, Vice President of Investor Relations. Joining me on the call today are Chris Rossi, President and Chief Executive Officer; and Pat Watson, Vice President and Chief Financial Officer. After Chris and Pat's prepared remarks, we will open the line for questions. At this time, I'd like to direct your attention to our forward-looking disclosure statement. Today's discussions contain comments that constitute forward-looking statements, and as such, involve a number of assumptions, risks and uncertainties that could cause the company's actual results, performance or achievements to differ materially from those expressed in or implied by such statements. These risk factors and uncertainties are detailed in Kennametal's SEC filings. In addition, we will be discussing non-GAAP financial measures on the call today. Reconciliations to GAAP financial measures that we believe are most directly comparable can be found at the back of the slide deck and on our Form 8-K on our website.  And with that I'll turn the call over to Chris. 
Chris Rossi: Thank you, Mike. Good morning and thank you for joining us. I'll start the call today with a review of the quarter and a few recent customer wins as well as an example of the industry-leading innovations we're bringing to market. Then Pat will cover the quarterly financial results as well as the outlook. Finally, I'll make some summary comments and then open the call for questions. Beginning on slide 2 in the presentation. In the quarter we delivered year-over-year organic sales growth and continued the successful advancement of our strategic initiatives, while navigating various macroeconomic headwinds. Those headwinds included high inflation, foreign exchange and a slower reopening in China post the COVID-related disruptions in the prior quarter. Sales increased year-over-year at 8% organically with favorable business days of 1% offset by negative foreign exchange of 4%. At the segment level, Metal Cutting grew 10% and Infrastructure grew 5%. As expected price continues to be a significant part of the sales increase and is one of the strategic levers we are using to offset inflation. Additionally, we experienced strong volume growth driven by Metal Cutting, which was towards the high end of the volume range that was provided on our last call. Sequentially, sales grew 8% driven by increased volume and lower FX headwinds this quarter. On a constant currency basis, EMEA posted 14% growth which included a negative 150 basis point effect due to our Russia exit and the Americas grew 8% driven by Aerospace, General Engineering, Energy and Transportation end markets. Asia Pacific reported 1% growth reflecting a slower recovery from COVID disruptions in China as well as lower Transportation and Energy end market demand. By end market Aerospace reported 25% growth, Energy and General Engineering grew 9%, Transportation grew 5% and earthworks grew 1%. Overall, we expect our end markets to remain resilient for the balance of our fiscal year. Of course, we recognize that there are still risks in the global economy. However, as I've said several times before we believe we are well-positioned in all our end markets despite these uncertainties and challenges. In Aerospace although aircraft build rates are still well below pre-pandemic levels, we continue to gain greater share of wallet which positions us well for continued growth as build rates improve. In Energy, we have seen improvement as oil and gas customers inventory management actions stabilized versus last quarter. Based on customer feedback we're optimistic that a long-term growth trend is underway. In addition, our products and solutions serve both renewables and traditional energy markets, which positions us well to benefit from increased demand in both. We expect General Engineering to remain steady, despite some moderation in industrial production, as we reach new customers through our digital customer experience platform. Transportation increased mid-single digits this quarter with strong growth in both the Americas and EMEA, while we experienced lower demand in Asia Pacific. We anticipate this end-market to strengthen as supply chains improve and China reopens. Remember, we maintain a leading position in both traditional and emerging transportation applications and will benefit from the technical and market leadership positions we're establishing in tooling for hybrid and electric vehicles to take advantage of this mega-trend. And finally, Earthworks, continues to benefit from strong underground mining activities in Asia Pacific and modest growth in EMEA. In the Americas, we anticipate, future opportunities from increased government spending on infrastructure projects, including trenching for Internet, electric grid expansion and for road rehabilitation as these funds begin to work through the federal, state and local procurement processes. Customers we spoke with at CONEXPO indicated that the flow of funds process does take time, but remain confident in the growth potential from this bill. So while there are still some uncertainties in the current macro environment, we're working to ensure that we perform well in all scenarios. Right now, we feel good about the underlying long-term growth drivers and potential in our end-markets and we believe we are well positioned in each. Turning now to profitability in the quarter, as mentioned earlier, price was a significant portion of the year-over-year sales increase and the pricing actions taken in both business segments substantially covered all forms of inflation on a dollar basis. Metal cuttings volume came through at the expected operating leverage and operating margins increased year-over-year, despite the muting effects of foreign exchange. The Infrastructure segment accounts for the change in company operating margins year-over-year. As I mentioned last quarter, we intentionally extended the shutdowns of powder production into January. As a result of these actions and as anticipated this quarter, we experienced under-absorption in the Infrastructure segment. This action enabled us to lower inventory levels and take advantage of an improving supply chain. We continue to expect Infrastructure margins to significantly improve in the fourth quarter, reaching a level that is approximately equal to the first quarter. Pat will go into more detail on Metal cutting and Infrastructure margins in his section. Well let me just say that in general, we certainly have opportunities ahead for even greater margin improvement. Company-wide we remain focused on driving improved profitability through operational excellence by improving manufacturing and business process productivity and fixed costs, and through optimizing investments in commercial excellence and technology to target our highest return growth initiatives. Operating expense, as a percentage of sales was slightly higher compared to prior year at 21.1% this quarter. Adjusted EPS declined to $0.39 compared to $0.47 in the prior year quarter with the decline largely driven by the factors I discussed. Free operating cash flow this quarter increased significantly to $56 million from $13 million in the prior year quarter, despite a year-over-year increase in primary working capital, driven mainly by higher raw material costs and safety stock. And finally, we continued the share repurchase program this quarter with $7 million of shares bought back, bringing the total amount repurchased since the beginning of the program to $123 million. Our share repurchase program reflects the confidence we have in our ability to execute our strategic initiatives for long-term value creation, despite quarterly macroeconomic headwinds and uncertainties. Now, let's turn to Slide 3 to review some recent commercial wins that resulted from successful execution of our growth roadmap. I want to highlight a key win in Power Generation within our Infrastructure business. We gained a larger share of wallet by developing a custom wear component solution with superior performance, which enabled us to command a premium for our solution. Next is an Aerospace win. We secured an initial order providing tooling for a commercial engine manufacturer that is building a new facility overseas. We provided a solution that exceeded the customer's delivery expectations. Turning now to EV, we received preferred supplier status with an Asian EV OEM for tooling associated with braking systems. Winning preferred status positions us well to increase market share in the region and in the growing EV end market. In our metal cutting business, we delivered a full solution package for a leading manufacturer of steel components in the oil and gas industry displacing a competitor's products. This solution resulted in a 300% performance improvement for the customer. And finally, we provided a solution in the mining industry using our additive manufacturing capabilities. We leveraged our proprietary process to develop wear-resistant nozzles that direct high pressure high flow water and solids to aid in underground mining activities. We provided an upgrade from a steel solution to tungsten carbide with no additional tooling required and reduced customer lead times. These are just some examples of wins that demonstrate our ability to gain share with both existing and new customers. Now on slide 4, I'd like to highlight an example of how innovation continues to drive enhanced product offerings to our customers. This slide shows our new KENGold turning inserts. Simply put this product is our gold standard insert for general purpose turning applications. We developed an innovative proprietary coating technology, which has been enabled by our investment in modernization that deliver significantly improved wear performance over previous insert grades, while also making it easier for customers to identify where it maximize edge usage. The improved thermal abrasion and shipping resistance that KENGold delivers, enables our customers to increase productivity, improve quality and lower overall production costs. This product is ideal for use in many of our target applications such as shafts, rings, flanges and bearings for electric vehicles and for turning applications in General Engineering. Now, let me turn the call over to Pat who will review the third quarter financial performance and the outlook.
Pat Watson: Thank you, Chris, and good morning everyone. I will begin on slide 5 with a review for Q3 operating results. Before I begin, please note that like last quarter, we did not record any non-GAAP adjustments this quarter. Therefore, adjusted numbers are not presented for the current quarter and for today's discussion year-over-year comparisons will be against the prior year's adjusted results. The quarter's results show that we continue to execute our initiatives in the face of continued headwinds from inflation, foreign exchange and the lingering effects of COVID disruptions in China. Sales increased by 5% year-over-year with 8% organic growth and favorable workdays of 1%, partially offset by headwinds from foreign currency of 4%. As Chris pointed out, price remains a large portion of the sales increase. On a sequential basis from Q2, sales growth of 8% was above our normal Q2 to Q3 seasonal pattern of up 3% to 4%, driven by increased volume and more favorable foreign exchange. Operating expense as a percentage of sales increased 40 basis points year-over-year to 21.1%. Adjusted EBITDA and operating margins were 15.7% and 9.8%, respectively versus 18.3% and 11.4% in the prior year quarter. The year-over-year decrease in operating margin was mainly due to the following factors. As discussed last quarter, we were aggressively raising prices in the prior year ahead of experiencing the full effect of higher tungsten prices. Starting in Q2 for the Infrastructure segment, however, the favorability of price over material cost is negligible as raw material costs reflecting the current market price is flowing through the P&L. Approximately three-quarters of our metallurgical material costs are in the Infrastructure segment. We expect raw material costs to be relatively steady for the balance of fiscal year. As in prior quarters, higher pricing substantially offset higher raw material, wage and general inflation in the quarter. As mentioned on our Q2 call, we decided to extend the planned shutdowns of our powder production operations into January, resulting in approximately $5 million of unfavorable absorption in the Infrastructure segment this quarter consistent with last quarter. This decision enabled us to reduce inventory levels and take advantage of improving supply chain conditions. Lastly, foreign exchange headwinds from the strong US dollar were $3 million. Effective tax rate decreased year-over-year to 24.4%, primarily due to geographical mix. Earnings per share were $0.39 in the quarter versus adjusted EPS of $0.47 in the prior year period. The main drivers of our EPS performance are highlighted on the bridge on Slide 6. The year-over-year effect of operations this quarter was negative $0.04, which includes a negative $0.05 effect from under-absorption. You can also clearly see the effects of the tax rate, foreign exchange and the reduction in pension income on EPS, with taxes contributing positive $0.02 and currency and reduced pension income each contributing negative $0.03. Please note that, our US pension plan remains overfunded and the change in pension income is non-cash and is driven by market factors. This change in assumptions is affecting each quarter this fiscal year. Foreign exchange is expected to remain a year-over-year headwind although, based on recent spot rates, the year-over-year headwind is expected to decline in Q4. Slide 7 and 8 detail the performance of our segments this quarter. Reported Metal Cutting sales were up compared to the prior year quarter, with 10% organic growth and business days of 1% partially offset by a foreign currency headwind of 5%. We achieved growth in the Americas and EMEA regions in all end markets, on a constant currency basis. By region, the Americas led at 16% followed by EMEA at 11% while Asia Pacific was a negative 3%. America's year-over-year growth this quarter, was driven by the execution of our growth initiatives in Aerospace and the continued broad and resilient demand across all end markets. EMEA's year-over-year performance reflects growth driven by execution on our strategic initiatives and broadly favorable end market conditions. Asia Pacific's growth, as Chris noted, was negatively affected by a slow recovery from COVID-related disruptions in China. Looking at sales by end market. Aerospace sales grew 25% year-over-year, as we continue to win new business a result of our focused execution, on our strategic initiatives in this end market. General Engineering grew 11% year-over-year, with the strongest growth in Americas and EMEA. Energy grew 7% this quarter, as the customer year-end inventory rebalancing activities we experienced last quarter subsided. And lastly, Transportation grew 5% year-over-year benefiting from improved customer supply chains and hybrid EV business in the Americas and EMEA, somewhat offset by weaker conditions in Asia Pacific. Metal cutting achieved its best operating margin post-COVID, with operating margin of 13.1% despite an approximately 30 basis point headwind from the strong US dollar. And through our focus on growth and operational excellence, we are positioning ourselves for further margin expansion. Pricing, volume growth and productivity offset cost increases. Turning to Slide 8, for Infrastructure. Organic sales increased by 5% year-over-year partially offset by foreign exchange headwinds of 3%. Regionally EMEA grew 24%, followed by Asia Pacific at 7%. Americas sales were flat primarily due to a customer who in-sourced production, which we previously disclosed as well as timing of project orders. Looking at sales by end market. Energy grew 10%, General Engineering grew 5% and earthworks grew 1%. The strength in Energy was driven mainly by improvement in the US, oil and gas market as indicated by US rig counts up approximately 20% year-over-year from Q3 2022 to Q3 FY 2023. As Chris noted earlier, the prior quarter customer destocking actions stabilized this quarter. Earthworks saw growth in Asia Pacific, driven mainly by underground mining while growth in EMEA was unfavorably affected by mine flooding in South Africa and sales in the Americas, were negatively impacted by order timing. Lastly, General Engineering was driven mainly by project orders in EMEA, offset by lower demand in the Americas from a customer in-sourcing I just mentioned and timing of project orders. Operating margin declined year-over-year to 4.8% primarily due to two factors. First, as discussed earlier on the call, the favorability of price over material costs we have been experiencing is now negligible, as raw material costs reflecting the current market costs are now flowing through the P&L. Again, we expect raw material costs to be relatively steady for the balance of the fiscal year. Second, significant factor affecting the margin this quarter was the previously discussed, powder plant shutdown that was extended into January. We did as anticipated experienced under-absorption this quarter, which helped us lower inventory levels as the supply chain continues to normalize. We continue to expect operating margin will return to approximately Q1 FY 2023 level in Q4. This expected improvement in profit margin is driven by increased sales volume, primarily from the seasonal uptick in construction and more favorable absorption in our powder operations. The force majeure we previously discussed remains in effect but we do not expect to incur disruption costs in Q4. Now turning to slide nine to review our free operating cash flow and balance sheet. Our third quarter free operating cash flow increased to $56 million from $13 million in the prior year quarter. On a dollar basis, year-over-year primary working capital increased to $712 million, reflecting mainly higher raw material costs and year-over-year higher safety stock associated with extended supply chains. On a percentage of sales basis, primary working capital increased to 32.9%. We expect inventory levels to decrease again in the fourth quarter as we continue to manage inventory levels down now as our supply chain continues to improve. Net capital expenditures were $18 million compared to $22 million in the prior year quarter. In total, we returned approximately $23 million to shareholders through our share repurchase and dividend programs. We repurchased $7 million of shares in Q3 for a total of $123 million or 4 million shares representing approximately 5% of outstanding shares since the inception of the program. And as we have every quarter since becoming a public company over 50 years ago, we paid a dividend to our shareholders. Our commitment to returning cash to shareholders reflects our confidence in our ability execute our strategy to drive growth and margin improvement. We continue to maintain a healthy balance sheet and debt maturity profile. At quarter end, we had combined cash and revolver availability of approximately $731 million and we're well within our financial covenants. The full balance sheet can be found on slide 14 in the appendix. Turning to slide 10, regarding our full year outlook. We are raising the low-end of our FY 2023 outlook. We expect sales in FY 2023 to be between 2.07 and $2.1 billion with volume up 1% to 2%, price realization of approximately 7%, and a headwind from foreign exchange of approximately $100 million. This sales outlook assumes that demand in China improves throughout the fourth quarter and foreign exchange is sequentially neutral. On a full year basis we expect to offset raw material, wage, and general cost increases on a dollar basis. A $100 million foreign exchange sales headwind is expected to translate into approximately $20 million on an operating income basis. Lower pension income will be a headwind each quarter for a total of $14 million for the year. Depreciation and amortization is expected to be approximately $135 million and we now expect interest expense of approximately $28 million and an effective tax rate of approximately 24%. We're also raising our outlook for adjusted EPS. We expect adjusted EPS in the range of $1.50 to $1.70. On the cash side, for the full year outlook for capital expenditures is approximately $100 million and the outlook for primary working capital is unchanged at 31% to 33%. Taken together we continue to expect free operating cash flow at approximately 100% of adjusted net income in line with our long-term target. And with that, I'll turn it back over to Chris. 
Chris Rossi: Thanks Pat. Turning to slide 11, let me take a few minutes to summarize. Overall, we're pleased with our organic growth and strong free operating cash flow in the quarter. Although the operating environment remains challenging, we're encouraged by the continued resiliency of our end markets and the improvements we're seeing in the supply of materials, which allows us to draw down safety stocks. And we look forward to continued margin improvement in Q4 as we benefit from the inventory reduction actions we took in Q3. Looking beyond fiscal year 2023, we're encouraged by our market position. We're poised to benefit from the mega trends affecting our end markets and the opportunity we have to extract even greater operational efficiency from our modernized plants and our ongoing focus on optimizing for growth our investments in commercial excellence and technology. And we're confident in our ability to continue to return cash to shareholders, while investing in our strategic initiatives for growth and profitability improvement. And with that operator please open the line for questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from Julian Mitchell from Barclays. Please go ahead.
Julian Mitchell: Hi, good morning. I just wanted to home in for a second on the Metal Cutting margins. So a good sort of operating leverage, I think 45% year-on-year in the third quarter. I just wanted to check, is this sort of the guide implying that steps up a bit in the fourth quarter? So you're getting a sort of mid-teens operating margin in Metal Cutting in Q4. And then, as we think about the year ahead, is that sort of mid-40s incremental margin in Metal Cutting a sort of a good placeholder?
Pat Watson: Yes. Good morning, Julian. So, a couple of things to think about there. Obviously, as we think about FY '24, we're going through our annual planning process now. And so that's something obviously we'll update you on when we get to our call in August. As we think about the margin performance of the Metal Cutting segment in the fourth quarter, as we look, I'll say sequentially Q3 to Q4 and normally, we would see a slight uptick in volume Q2 to -- excuse me Q3 to Q4. Obviously, that will lever. And as we've talked about before Metal Cutting generated leverage is, a little bit above where our normal run rate is on a consolidated basis. So, we'd expect with volume coming through slightly higher margin performance.
Julian Mitchell: Thanks very much. Yes. And that's a higher margin -- operating margin sequentially I suppose. Yes. That makes sense. Thank you. And then just my second quick one would be, I wondered what you're seeing in terms of sort of distributor behavior, any customers or channel partners kind of looking to slow down orders or destock a little bit in the last couple of months? Has there been any change in customer behavior in the Americas in particular? And then on China, as you said, it's a below plan recovery to date. I think in areas like Transportation, you're assuming an improvement understandably. So, maybe any more color on kind of what you're seeing real time in China please?
Chris Rossi: Yes. I would say, Julian, on the Metal Cutting side, ever since we came out of the pandemic, the distributors have been really pretty cautious about just how much inventory they had. So for example, if they're supporting aerospace customers, they tend to be adding inventory there, because they want to make sure that, they can serve those customers and there's also a pretty good trajectory on growth there. But those that are serving more general engineering, I think they've been cautious. So we're not really seeing a destocking, but I don't think Julian, we ever really saw a restocking if you will. And then, I think we've talked about on the Infrastructure side, we did see oil and gas customers and even some of the construction customers taking some inventory reduction actions as the supply chain problems start to abate, they needed less safety stock and less stock. So, there's kind of been adjustments throughout the whole supply chain in that regard. As it relates to China, yes, Transportation is as we know we have a lot of exposure to Transportation especially in Metal Cutting, the recovery has been slower and I think that's -- in our mind, that's been driven by actually reduction in demand for the sale of cars over there. That is expected to begin to improve, but we have to watch that one, Julian.
Julian Mitchell: That’s great. Thank you.
Operator: Our next question comes from Dillon Cumming from Morgan Stanley. Please go ahead.
Dillon Cumming: Great. Good morning, guys. Thanks for the question. I realize this is probably a bit more of a difficult one to answer. But just kind of curious, if you had any kind of data points or feedback from your kind of distribution channel around impacts from the tighter financing environment, maybe there's a lot of concern out there with regards to the potential impacts on the broader industrial complex, but just curious that's the sentiment you're hearing from your customers as well.
Chris Rossi: Yes. We haven't really heard very much from our distributors or our smaller customers if you will about the potential banking crisis. So it's nothing that has -- that we've seen. We keep an eye on it and we're monitoring the situation. We do have a lot of our customers are actually quite small. And certainly the deposit limits that they would have in any banks are probably covered by the FDIC and those kind of thing. So, we think that there's not going to be much of an effect, but it is something that we have to watch.
Dillon Cumming: Okay. That's clear. Thanks, Chris. And then just one question on kind of broader price cost and pricing trends. I think Pat, you mentioned in your prepared remarks that you were expecting a bit less of a benefit from overall price cost positivity as we move through the end of the year here. How are you guys thinking about pricing going into next fiscal year? I mean, are you planning to put through further price increases? Do you feel like we're hitting upper bound? Any color on how that progression should progress into next year would be helpful.
Pat Watson: Yes. I mean, as we think about pricing going ahead into next year, obviously, we'll just talk about strategically as we think about pricing, we're committed to making sure that we price for the value of the product number one. Number two, being mindful of the environment we're in and the inflation that we see in the business from a cost perspective being sure that we're pricing not just for value, but the cost that's going into the product. So, again, as we kind of complete our FY 2024 planning process here and get a good grip on what the cost inflation in the business will be, we will make sure that we have pricing actions across both businesses that are in place that are responsive to again the value proposition of the product and the cost structure that we think we'll be having.
Dillon Cumming: Very helpful. Thank you.
Operator: The next question comes from Joe Ritchie from Goldman Sachs. Please go ahead.
Joe Ritchie : Thanks. Good morning guys.
Chris Rossi : Good morning. Joe.
Joe Ritchie : Can you -- I want to just understand China maybe a little bit further. I know that you guys have talked about EV being a big opportunity for you guys going forward. I'm just curious just in China, are you typically selling into Western OEMs? Are you selling into the Chinese OEMs? Just help us understand your penetration of the EV market in China?
Chris Rossi : Yes. We're selling into both, but it's interesting, Joe, that the traditional OEMs are recognizing them with this EV that a lot of the Chinese players are they are the ones to watch out for. And so while we're selling into both we have a strategic focus on the new -- I'll call the new players that are important for EV and even hybrids going forward. So we have to tackle both. We feel like we're in a good position on both, but the traditional OEMs if you will they're going to see some competition from the Chinese.
Joe Ritchie : Okay. Great. That's helpful. And I guess maybe just my follow-on question and thinking about Infrastructure specifically, you talked about the powder production shutdown. Is that continuing at all into the fourth quarter? It sounds like that's done at this point, but you also made a comment around inventory levels continuing to be reduced into 4Q as well. So I just want to make sure I square those two things.
Chris Rossi : Yes. I think the inventory question was more about from our customers' perspective and they had taken some significant actions in Q2 and Q3 and that situation seems to have stabilized. We don't expect -- that the powder plants are running in the fourth quarter. So we're not having to make an adjustment there. So I think I answered both parts of your question but let me know if I didn't.
Joe Ritchie : Yes. No, no that's perfect. Maybe I'll just ask one more just longer-term question. You guys talked about KENGold and highlighted at this quarter. I'm just curious like how long had that particular range of products been in development. And it seems like there's some really good opportunity here. I just want to understand the opportunity a little bit better. 
Chris Rossi : Yes. It's been in the works for a while and like a lot of the product innovations that our technology team have come up with we were limited primarily by our ability to produce the product. The precision which you have to place these coatings in the case of KENGold required modern equipment and actually new processes. And so Joe what really enabled the release of that product was the completion of the modernization at some of our insert facilities. So I would say in this case, it was modernization that was a pacing item. And we expect there is more of that to come because one of the major reasons to modernize was not only to improve our cost and our quality and delivery performance, but it was also to enable our innovation folks to bring to market some of the great products they got and KENGold is a great example of that.
Joe Ritchie: Okay. Sounds good. Thanks guys.
Operator: The next question comes from Tami Zakaria from JPMorgan. Please go ahead.
Tami Zakaria: Hi. Good morning. Thanks so much for taking my questions. Most of my questions have actually already been asked. I just have a couple of quick ones, and I'm sorry, if you already disclosed it. But do we know what price versus volume growth was in each segment in the most recent quarter that you just reported?
Pat Watson: Yeah. We -- as we talked about in the prepared remarks as well as the press release, we've had strong price realization across both businesses. From a volume perspective, we did see volume growth in Metal Cutting on a year-over-year basis, and we had a slight negative volume in the Infrastructure segment in the quarter.
Tami Zakaria: Got it. And as we look into the fourth quarter, do you expect volume to be positive in both segments?
Pat Watson: Yeah. Overall, volume will be positive in both segments as we go into the fourth quarter on a year-over-year basis as well as sequentially.
Tami Zakaria: Got it. Thank you so much.
Operator: The next question comes from Steve Barger from KeyBanc Capital Markets. Please go ahead.
Steve Barger: Hey, good morning, guys.
Chris Rossi: Hey, Steve.
Pat Watson: Hi, Steve.
Steve Barger: Happy to hear your commentary around continued end market resilience. Can you square that up with ISM being sub-50 for six months and the Metalworking index having been sub-50 for six of the last seven months? I think in the past your organic growth has tracked those to some degree. Do you think there's anything about your mix or this cycle that suggests that could decouple going forward? 
Chris Rossi: Yeah. I think it's -- maybe it's particular to this cycle in that with all the supply chain constraints a lot of our customers had they built huge backlogs. And so even coming out of the pandemic, many of them have never returned to pre-pandemic production levels. So they've got that backlog. So normally, Steve if you to have that type of -- those indices are below 50, we would probably start to see a little softening in our business more than we've seen. So we've used the word resilience in that, there's an expectation that that might happen, but it really hasn't shown yet. And my theory is that, a lot of our customers are operating with large backlogs and it never really because of whether it be labor shortages, chip shortages, or other supply chain constraints never really ramped their production back up to pre-COVID levels in many of the markets that we're at. 
Steve Barger: Yeah. That makes sense. I think that's a good theory. Price is running maybe four times ahead of volume this year. So if inflation moderates next year will you be able to drive incremental price based on the value proposition? And given your commercial excellence initiatives do you just have a general algorithm for your growth versus the market?
Chris Rossi: Yes, in terms of price I think Pat said, it we're always trying to price versus value. Now, in the case of the high inflationary environment we also had to factor that in and all our competitors did the same. But if we return to a more normal inflationary environment, we really don't have to necessarily change anything because we're already sort of pricing based on value. And so we'll continue to do that and that's actually a business process you have to have. It's a discipline with the salespeople. It's an education. And so we've been at this now for several years prior to the hyperinflation. So, we'll continue to push price as much as we can. Recognizing it's a competitive environment, but you do have to sell value and we're getting much better at than we were even a few years ago. Sorry, what was the second part of your question? 
Steve Barger: You've done a lot on commercial excellence over the past couple of years. Do you have an internal kind of algorithm or expectation for what your organic growth should look like relative to whatever the market does in an up cycle or a down cycle?
Chris Rossi: Yes. I would say in general, we don't – for competitive reasons, I don't want to give you the target but we – our expectation is that if the market is expanding, we're gaining share and we're growing faster. And that's the way we compensate our sales force and our business leader executives is it's not enough just to ride the market up or ride the market down, we expect you to do better than the market. 
Steve Barger: How do you define the market for them? Is it based on the Metalworking index or something like that? 
Chris Rossi: Yes. It can be – unfortunately in this business, you have to use several indices. It kind of depends on where you are in the world. But if you take for example a country like Germany, there is a lot of metal cutting companies that report their metal cutting revenues into an association and the association then gives you what the metal cutting market is and you can compare yourself to how you grow there. You can do something a little bit similar to that in the US and other countries. So we have to have several metrics but those are the kinds of things that we looked at that tell us directionally are we gaining share. And then beyond that you can also look at with specific customers, you have a good sense for how much metal cutting business that they're buying in total versus what you're actually getting. And so we can also set entitlement models and targets based on specific customers and say "Hey we should have x percent of these people's business and we only have y". So that's how we set the targets.
Steve Barger: Got it. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Chris Rossi for closing remarks. 
Chris Rossi: Thanks, operator and thanks everyone for joining the call today. The results this quarter reinforce our ability to advance our strategic initiatives and secure market-leading positions and I'm really very confident we'll deliver our full year outlook. Finally, we look forward to speaking with you next quarter and I also hope that you'll be able to join us at our upcoming Investor Day on September 8, at the New York Stock Exchange. More details about that event will be forthcoming from Mike. We're excited for you to hear from our executive management team, as we share our growth and innovation plans and provide an update on our long-term targets that really reflect where we're taking the company. As always, appreciate your interest and support. Don't hesitate to reach out to Mike, if you have any questions. Everyone have a great day. Thanks.
Operator: A replay of this event will be available approximately one hour after its conclusion. To access the replay, you may dial toll-free within the United States 877-344-7529. Outside of the United States you may dial 412-317-0088. You will be prompted to enter the conference ID 8013976, then the pound or hash symbol. You will be asked to record your name and company. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.